Operator: Good morning, and welcome to the Sabre Third Quarter 2016 Earnings Conference Call. Please note that today's call is being recorded and is also being broadcast live over the Internet on Sabre corporate website. This broadcast is a property of Sabre. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of the company is strictly prohibited. I will now turn the call over to Senior Vice President of Investor Relations, Mr. Barry Sievert. Please go ahead, sir.
Barry J. Sievert - Sabre Corp.: Thank you, Tracy, and good morning, everyone. Thanks for joining us for our third quarter 2016 earnings call. This morning, we issued an earnings release which is available on our website at investors.sabre.com. A slide presentation, which accompanies today's prepared remarks, is also available during the call on the Sabre IR web page. A replay of today's call, along with the slide presentation, will be available on our website beginning this afternoon. Throughout today's call, we will be presenting certain non-GAAP financial measures, which have been adjusted to exclude expenses or other gains or losses related to restructurings, litigation and tax matters and certain other items. All references during today's call to EBITDA, operating income, EPS and net income have been adjusted for these items. The most directly comparable GAAP measures and reconciliations are available in the earnings release and other documents posted on our website at investors.sabre.com. We would like to advise you that our comments contain forward-looking statements. These statements include, among others, disclosure of our guidance, including revenue, EBITDA, net income, cash flow, CapEx and earnings; our expected segment results, the effects of new or renewed agreements, products, implementations and acquisitions; our expectations of industry trends and various other forward-looking statements regarding our business. These statements involve risks and uncertainties that may cause actual results differ materially from the statements made on today's conference call. Information concerning the risks and uncertainties that could affect our financial results is contained in our SEC filings, including our second quarter 2016 Form 10-Q and our 2015 Form 10-K. Participating with me on today's call are Tom Klein, our President and Chief Executive Officer; Rick Simonson, Executive Vice President and Chief Financial Officer; and Chris Nester, our Treasurer and SVP of Finance. Tom will start us off with a review of our strategic and commercial performance. Rick will then offer perspective on our financial results and forward outlook before turning the call back to Tom for closing remarks. We will then open the call to your questions. With that, I'll turn the call over to Tom.
Thomas Klein - Sabre Corp.: Thanks, Barry. Good morning, everyone. Thank you for joining us. In the third quarter, we continued to build on our track record of delivering innovation. That said, we didn't deliver the kind of overall financial results we or you have come to expect from Saber. There were three reasons for this. We had continued corporate booking weakness, two of major markets, North America and Europe; accounting for the insolvency of Unister, major European OTA. We had business with Unister for several years and we had seen benefits from the growth of them for many quarters and then ended with unfortunate events that set off the company's demise. And third, we spent money above planned amounts as we worked to adjust our customers' needs, including incremental spend on the technical security and stability of our network and from delays and restructuring of a couple of our airline reservation implementations. More on how we benefit from this work later in periods to come. And here is why I expect the fourth quarter to return to the kind of strong results we delivered since our IPO and that are consistent with our expectations. First, our Travel Network bookings are showing improvement in October, a number of airlines and agencies have also reported measureable pick-up in corporate bookings in key markets. So, it's reasonable to expect that we are on an improving trajectory. Second, we have terrific visibility to agency conversions and the resulting booking pick-up, specifically in EMEA in the fourth quarter. This will support our return to market share gains in EMEA. And finally, solution strength will continue with recent successful SabreSonic implementation in Alitalia, accelerated Wyndham rollouts, and double-digit growth in Airline Solutions' AirCentre and AirVision product suites. A solid fourth quarter will set up the drivers for a good 2017. We have clarity on the airline reservations implementations we expect in 2017, while we'll continue to work to sell additional solutions for these and all of our airline customers. Our Hospitality business continues its rapid growth across independent, small- and medium-sized and enterprise chain hoteliers. We expect the announcement of one or more new enterprise clients before our next quarterly call, further setting the stage for 2017 and beyond. And we expect 2016 will show we again gained global share in Travel Network. Going into 2017, we have already won the biggest share of one of the world's largest travel retailers with bookings starting to flow in the second half of 2017. And our recent commercial successes further bolster our confidence. So, let me turn back to the third quarter. While there's reason for optimism going forward, as I said, the results in the third quarter didn't meet our expectations and we're not satisfied with our overall performance. Moving quickly to recap our business performance in the third quarter, our Solutions business delivered 20% top-line growth that accelerated in the first half with a balanced contribution across the business. Travel Network increased share on both the year-over-year and sequential basis and delivered bookings growth in all regions. On a consolidated basis, revenues were impacted by modestly slowing – slower growth and the write-off related to Unister insolvency. Excluding the Unister insolvency, EBITDA would have increased 2% and EPS would be consistent with year-ago results. During the quarter, we also incurred higher technology operating and investment expenses than we planned, as I mentioned earlier. Our continued investment, new sales and current travel agency implementations in the quarter will benefit us in the fourth quarter and in near future. As I said all year, we expect strong top-line growth and margin performance in the fourth quarter and we're seeing some signs of that as we speak, setting up for a solid step off into 2017. In the Airline and Hospitality Solutions business, we continue to expand our share of wallet in our current customers and gained new ones across all of our solutions. Revenue growth of 20% included 20% growth in SabreSonic, mid-teens growth in AirVision and AirCentre, and nearly 45% growth in Hospitality Solutions. Marketplace momentum for our new solutions continues to be robust. In the third quarter, JetBlue and Japan Airlines contracted our Crew Manager, bringing the total to seven airlines that have signed so far this year after releasing our new crew product. Additionally, our team already signed seven airlines in advance of our late October launch of our new revenue manager product, Revenue Optimizer. These first-mover customers demonstrate that we hit the mark with these new solutions. Our innovations are focused on the future needs of the airline industry and our customers are validating that those innovations resonate. Our track record of delivering measurable value for our customers is driving increasing value, share of wallet and broad revenue contribution across AirVision and AirCentre. A few examples in the third quarter include new implementations at Indonesia's Lion Air Group with Scheduled Manager; and India's Jet Airways with Intelligence Exchange and our Interline Branded Fares solution; and in Aeromexico on our Digital Experience solutions. These implementations are contributing to the balanced growth I mentioned earlier. Two weeks ago, Alitalia implemented the SabreSonic Reservation Suite, part of a broader adoption of SabreSonic technology across the airline, which includes Intelligence Exchange, cloud availability and our Digital Experience suite that are all live today. Alitalia brings nearly 25 million annual passengers boarded through the SabreSonic platform. And just this past weekend, American Airlines implemented SabreSonic inventory, which was the next big step into moving American to a broader suite of SabreSonic solutions. We've been working with airberlin on a significant and necessary restructuring in the airline with Sabre Technology as an important enabler of their future success. As a result of the restructuring, we've adjusted our contract and the implementation of SabreSonic in airberlin will now happen in 2017. In the meantime, we'll implement other solutions with them and we expect full year overall economics to be largely the same. Copa is an airline that had a very strong recovery after a difficult period due to several factors, including the Venezuelan collapse. Copa made a decision to reorder some of the technology projects. It accelerated the implementation of our Intelligence Exchange solution and they deferred the implementation of the SabreSonic Reservation system upgrade beyond 2017. Our objective is to always focus on the long-term success of our customers and how our technology can enable their strategy, airberlin and Copa are two examples of Sabre aligning with customers on their strategic priorities and ordering our technology solutions to line up with that strategic execution. At Hospitality Solutions, we had a great quarter as we continue to extend our global leadership position with over 36,000 properties around the world now leveraging our technology and continued strong commercial and revenue growth. Our new wins in the quarter included mid-sized hoteliers, Amora Hotels and Hospitality International. We had a strong quarter of new Hospitality Solutions implementation, including Loews Hotels, The Euro Hotel Worldwide Group and at our largest luxury hotel partner. In the enterprise space, we worked with Marriott to develop a new distribution and booking platform for wholesalers and tour operators. We did this work in short order and we've made Marriott more efficient distributing its inventory to a broader leisure segment. Importantly, this demonstrates our ability to bring solutions to market quickly even for the world's largest hoteliers. These are just a few of the proof points behind our momentum and confidence of continued growth in Hospitality Solutions. Sabre Travel Network had third quarter air bookings growth of 3% and we continue growth in every region in the world. Non-air bookings declined a bit, driven by continued softness in corporate travel and in comparison to last year's 12% growth in the quarter. Our overall bookings increase was 2.4%. Growth was strongest in Asia Pacific at 7% and modest growth in North America and EMEA. And finally, Latin America saw a small uptick for the second quarter in a row after a few years of decline. The Sabre Red Workspace continues to great feedback from hundreds of customers that have been using the beta version. Our best-in-class design, business intelligence and efficiency of the workflow, including the ease of booking ancillary content, are tracking ahead of how airlines plan to sell in the future. Airlines are realizing that the next leg in ancillary sales growth will come from increasing sales through intermediated channels, and our development work is completely aligned with this objective. Initiatives like these will increase the value delivered to airlines and travel agencies as buying and selling continues to evolve. Sabre Red Workspace is critical for the implementation of our large conversion in Asia Pacific that will drive over 4 points of incremental share in APAC and a point of growth globally, beginning in the second half of 2017. And Travel Network had an excellent sales quarter with new agency wins in every region that totaled over 2 million annual bookings in new business. Strong sales, EMEA conversions, continued excellent execution in Asia Pacific and what looks like a strengthening macro environment give us confidence that we'll close out the year strong in Travel Network. And we're relentlessly focused on innovation that will shape the future of the travel industry. Over the course of the year, it has been defined with consistent strength across solutions with year-to-date growth of over 17%, including over 40% year-to-date growth in Hospitality Solutions. In Travel Network, we've continued to outpace the market and year-to-date our global share is up 70 basis points. Although bookings growth slowed through the summer months, our third quarter relative business performance was strong with global share gains and continued growth in all regions. The fundamentals of our business are rock solid. And when coupled with some improvement in the macro environment, we believe we're set up well to deliver an excellent fourth quarter and step off into 2017. And with that, I'll turn the call over to Rick for some additional commentary on the quarter and our forward outlook.
Rick Simonson - Sabre Corp.: Thank you, Tom. Our third quarter results reflect Airline and Hospitality Solutions continuing to build on its track record of strong growth as well as Travel Network growth that was ahead of the overall GDS industry. Airline and Hospitality Solutions revenue growth accelerated to 20% to $262 million, which puts us at $753 million through three quarters, well on pace to hit more than $1 billion in revenue this year, one of the largest and most profitable vertical software businesses in the world. Contributing to the rise in revenue in the quarter was nearly 45% growth in Hospitality Solutions. In Airline Solutions, SabreSonic growth of 20% was driven by the sharp increase in SabreSonic passengers boarded. Our AirCentre and AirVision portfolios also delivered robust growth with revenue from these solutions increasing in the mid-teens. Airline and Hospitality Solutions' EBITDA increased 11% to $95 million, resulting in a Q3 EBITDA margin of 36.2% for the segment, largely consistent with our expectations for margins to be about flat with the Q2 levels. 206 million passengers were boarded through SabreSonic reservations system in the quarter, a 45% increase year-over-year. New implementations contributed to the majority of this increase. However, passengers boarded growth on a consistent carrier basis, was a very strong 9% up in the quarter as well. Turning to Travel Network, results were impacted by modestly slower market growth than expected and the previously disclosed insolvency filing of the European OTA customer. In the quarter, we took a non-cash write-off of upfront incentives paid in earlier periods. This, combined with the lost bookings attributable to this customer in the quarter, had the following impact to Travel Network and Sabre overall. Revenue was impacted by an estimated $3 million due to lost bookings at the agency. EBITDA was impacted by an estimated $9 million, $7 million of which was from the write-off of upfront incentives and the remainder from lost bookings. EPS was lower by approximately $0.02. EMEA bookings growth was 2 points lower and global bookings growth was impacted by approximately 35 basis points. All of our reported GAAP and adjusted results for the quarter fully reflect the impacts of the Unister insolvency. Inclusive of the effect of these headwinds, Travel Network revenue increased 2.3% to $582 million, driven by bookings growth across all regions and a 1% increase in average booking fee, offset by $3 million decline in subscriber and other revenue. All included, Travel Network EBITDA declined 4.9% to $220 million in the quarter. Travel Network's revenue growth was supported by a total bookings increase of 2.4% in the quarter to $126 million. Globally, our share of GDS air bookings increased both sequentially and year-on-year to 37.3% for the quarter. Year-to-date, our share is 70 basis points higher, as Tom mentioned, and sits at 37.2% globally. On a regional basis, our decision to acquire Abacus was again validated as APAC was our strongest region with third quarter bookings growth of 6.8%. North America bookings increased 1.6% in the quarter, driven by growth in the leisure channels, while corporate channels remained relatively flat. In EMEA, bookings growth was 1%. Excluding the impact from the insolvent agency, growth was consistent with the second quarter and the overall market at about 3%. Latin America bookings remained mildly positive in the quarter, increasing 0.6%. We expect new agency conversions in a modestly improving environment to drive accelerated bookings growth in Q4. Moving to our overall income statement, which includes all of the impacts of the insolvency we discussed, revenue, $839 million, an increase of 7% year-on-year; adjusted gross profit of $345 million, down $2 million. Total adjusted EBITDA declined 2% to $238 million. Depreciation and amortization stepped up in the quarter, reflecting the impact of increased capital investment in the business, resulting in adjusted operating income of $151 million. That was 14% below year-ago results. Below the line, the benefits of lower interest expense and decline in our tax rate contributed to adjusted net income of $75 million and EPS of $0.27. Moving to the balance sheet and cash flow, quarter-end total net debt and leverage remain steady at $3.2 billion and 3.1 times trailing 12 months EBITDA, respectively. For the quarter, we generated $79 million of free cash flow, a step up from our first-half revenue. Year-to-date, we have generated $178 million of free cash flow. Q3 total adjusted CapEx, which is the sum of GAAP, CapEx and capitalized implementation costs, was $111 million. Capitalized implementation costs were $21 million of this amount. Looking ahead to the fourth quarter, on a consolidated basis, we expect an acceleration from the third quarter growth across all relevant metrics, including revenue, adjusted EBITDA, adjusted net income, EPS and free cash flow. We expect strong top-line growth in Airline and Hospitality Solutions' revenue to continue in Q4, with full-year growth approaching 18%, resulting in full-year revenue of over $1 billion. Q4 Solutions' EBITDA margins are expected to step up, reflecting the anniversary of the negative overlap of the American Airlines' service contract that expired at the end of Q3 2015 and incremental contribution from our Alitalia, Wyndham and other implementations, partially offset by increased technology spend. With the shift of timing of the airberlin implementation and the October technology disruption impact of a few million dollars, full-year Solutions' EBITDA margins are now expected to be relatively consistent with 2015 levels, with expectations for margin expansion to the very high-30s in 2017, consistent with our medium-term goals. In Travel Network, the global booking environment is showing some signs of improvement for business travel. We expect new agency conversions to drive accelerated bookings growth in the fourth quarter, resulting an expected Travel Network revenue growth for the quarter of between 4% and 5%, and full-year revenue growth of more than 12%. We expect full-year EBITDA margins of about 40% or slightly better, both fully reflecting the realized and expected impact of the agency insolvency. Putting these together, we expect Sabre consolidated fourth quarter revenue growth of between 8% and 12% with EBITDA growth of between 13% and 19%, leading to strong growth in adjusted net income and adjusted EPS. Reflecting this for the full year, we now expect total revenues of between $3.365 billion and $3.395 billion. Adjusted EBITDA for the year is expected to be between $1.055 million (sic) [billion] (22:23) and $1.07 million (sic) [billion] (22:25) with full-year EPS of $1.34 to $1.40. Looking at free cash flow, we reported $178 million year-to-date. We now expect full-year free cash flow to approach $360 million, which simply reflects the flow through of our lower-than-expected EBITDA in quarter three. The planned and expected material step-up of free cash flow in the fourth quarter is intact. There are a number of operative, sustainable drivers for the step-up. But I'd like to remind you of the large one that merits repeating. In 2015, we reworked our multi-year contract for technology hosting. It provides for an annual ongoing savings credit that only triggers and becomes realizable, i.e., bookable to the cash flow statement, once certain usage thresholds are hit in 2016 and 2017. Based on year-to-date usage in 2016, we have reached those thresholds, resulting in approximately $55 million of payments that we won't be making in the fourth quarter, hence the cash flow benefit in the fourth quarter. With that, I'll turn the call back over to Tom.
Thomas Klein - Sabre Corp.: Thank you, Rick. For the past several years, we've talked about this business being resilient, and it is. While the third quarter did not meet our high standards, our company is very well positioned to continue delivering innovative technology to the $7 trillion travel industry. We expect that innovation over time will make up for short-term macro weaknesses as we continue to broaden product lines to gain share of wallet and increase our custom base. And we expect to finish the year with strong fourth quarter and with momentum continuing into 2017 and over the medium term. Thank you for joining us in the call today. With that, I'll ask Tracy to open the call for questions. Tracy?
Operator: Thank you And we'll go first to Jim Schneider with Goldman Sachs.
James Schneider - Goldman Sachs: Good morning. Thanks for taking my question. Regarding the Travel Network results in the quarter, your gross margins stepped down quite considerably. I was wondering if you can give us a little bit of color around the factors beyond Unister that drove that gross margin weakness. And then, more importantly, going into Q4, your guidance implied is a little bit ahead of the Street. So, I guess, what is giving you confidence that the Travel Network segment, in particular, is stepping up and it's going to be solid enough throughout the remainder of the year to drive that step-up in revenue and recovery?
Thomas Klein - Sabre Corp.: Yeah. Jim, this is Tom. Let me talk about the confidence coming into the fourth quarter and we'll go back to Rick who'll talk a little bit about some of the ins and outs in the third quarter. Look, we've had very good sales successes, as I mentioned on the call. We have great visibility into implementations across EMEA that will get us back to some share growth, which I talked about on our second quarter call. I said that later in the year we will be implementing some new business in Europe after having a period where the sales and the implementation cycle that didn't line up quarter-to-quarter. So, we'll see implementations of new agencies. We had strong sales again, as I mentioned, about 2 million bookings that we sold in the quarter. And we've seen a measurable pick-up in bookings as we got into the month of October. And we think much of that is coming from the multi-nationals, which has been a sleepy part of the market for most of the year. And it's a place that we have a lot of strength. So, we fully expect that those macro tailwinds, along with the sales strength that we've had, and again a year-over-year step-up in market share of about 70 basis points. And then finally, our execution in Asia Pacific post the Abacus acquisition has been excellent and it's the fastest growing region, higher than it's been all year long here in the last quarter. So, I think all of that gives us confidence that fourth quarter and, again, that step-off in 2017 for Travel Network will look a lot different than it has in the second and third quarters.
Rick Simonson - Sabre Corp.: Yeah. Jim, it's Rick. On gross margin, we had a little more than 2 points down year-over-year, as I said, in gross margin, largely as expected. We talked about that how in the back half we would have a step-down compared to the first half. We've been talking about that on each of the quarters. We saw that in the quarter, and it does reflect our expectation. It reflects all of the big agency renewals that we went through and successfully got that. And as I've said in our guidance, we expect to be overall for the year at the EBITDA level at 40%-plus for the year, which is spot on what we talked about coming in. So, we've managed to – from the revenue and gross margin to the EBITDA line consistently, and we see the setup working well here in Q3 and Q4 in that regard.
James Schneider - Goldman Sachs: That's helpful. Thanks. And then, maybe you can provide us, I think, an update on the Solutions pipeline of potential wins. I think you referenced a couple of times that you expect some potential decisions, if not this quarter, then early next quarter. Maybe give us the status of that pipeline and kind of whether you think anything's kind of getting close to fruition, either on the Airline or Hospitality side?
Thomas Klein - Sabre Corp.: Yeah, Jim. I think what I said in my remarks today was that in Hospitality, we fully expect to see some movement in the enterprise segment and we expect to have that happen before our next quarterly call. I've not given any specific timing on any of the Airline decisions. I've said before that we still see that 650 million passenger boarded opportunity out there, working a number of deals that are either early in RFPs or further along. But it's very difficult to speculate on when airlines will make additions and I've not speculated on that in the past. I've just said that some of the 650 million passenger boarded pipeline has probably moved out a little bit from when we first started talking about it, which was probably 18 months ago or so when we first started talking about that third-party report and using it to validate what we see as the marketplace pipeline. So, we expect to see wins in the enterprise segment, Hospitality. We have very active pipeline on the Airline Solutions side, particularly in the reservations business. But as I mentioned and Rick reiterated, our AirCentre and AirVision portfolio for the last few quarters has been in double-digit growth rates that's higher than it has historically been. That's a reflection of investments we've made in that portfolio. And as we've rolled out the solution, I mentioned, in crew and in revenue management with our Revenue Optimizer product, we expect that type of strong growth to continue in that part of the portfolio.
James Schneider - Goldman Sachs: That's helpful. Thanks. And if I can just sneak one more in, maybe I'm not sure if either of you can comment on this, but maybe just give us a status of the CEO search process and how that's progressing, whether we can expect something before the end of the year?
Thomas Klein - Sabre Corp.: That's the timeline that the board has set. I have full confidence in our board and full confidence in the search committee, and I think things are going as we had anticipated. And hopefully, we'll stay on the timeline that we communicated.
James Schneider - Goldman Sachs: Thank you.
Operator: We'll go next to Brian Essex with Morgan Stanley.
Brian L. Essex - Morgan Stanley & Co. LLC: Hi. Good morning, and thank you for taking the question. I was wondering if – I guess first of all, maybe if we could focus a little bit more on the cash flow bridge in 4Q 2016, the ramp outside of the Hewlett Packard benefit. What are the items that would help you reconcile and give us or at least give investors confidence that you can hit that target?
Rick Simonson - Sabre Corp.: Yeah, Jim (sic) [Brian] (31:03), there's a couple of things, as I mentioned. I mentioned that big $55 million one. There's another bucket that's really in our upfront solutions fees, implementations. And those are typical, they're reoccurring. They happen every year, but they do come a little bit lumpy. In the fourth quarter, we expect a nice chunk of $20 million or so coming in from there. And then the third bucket's made up of various working capital items there, which combined, we're looking at about $30 million of incremental free cash flow in Q4. It's with our plans. It's aligned with that. So, those are the three buckets, the $55 million, $20 million and $30 million to build that up. And again, the implementation fees are a normal part of the business, and the working capital items. The reason I want to call out the hosting again, as I did after the second quarter, is the unique nature of that contract and how it gives us that benefit in 2016 and 2017. But it's back-end in each of the years, because you have to show that you've hit certain volume.
Brian L. Essex - Morgan Stanley & Co. LLC: Got it. And then, if we can kind of follow on that, I mean, you've previously talked about a $500 million free cash flow level in fiscal 2017. And I know you're probably not in a position to speak specifically to that. But has anything fundamentally changed in the operations of the business that would kind of change your view on that magnitude of inflection in the cash flow next year?
Rick Simonson - Sabre Corp.: No, and we aren't giving guidance on any metric for 2017, but we are intact that we've got the strong trajectory across the P&L and the cash flow metric, stepping into 2017, to support the basic drivers of the business, which both Tom and I have hit on here this morning. And in 2016, we expect that we'll have well over $100 million increase from 2015 and added to the drivers that we've talked about. And again, with the strong really great growth in solutions across the Airline res, AirCentre, AirVision and particularly Hospitality Solutions, increasing margin there, those are very well intact. In Travel Network, again, we're showing consistently that we're taking market share. We've locked in some share with a big agency that will come and support that later in 2017, and we're operating at the margins that we expected coming out of the year and with having gone through a lot of agency renewals. So, I think all of those drivers remain intact. The adjustment here in 2016 is a flow through from the shortfall in EBITDA in Q3.
Brian L. Essex - Morgan Stanley & Co. LLC: Got it. Maybe I can just sneak one last one in. On your October booking strength that you mentioned, I mean, now we're past the end of the month. What are the key indicators that you look at? And how much visibility do you have into that strength as well as kind of activity into the last two months of the quarter? Just to give us the confidence that you're leaning on or visibility into what you're leaning on for confidence in the fourth quarter?
Thomas Klein - Sabre Corp.: Yeah. Brian, we get very good visibility in-month. So, there's a little bit of danger in riding the rollercoaster of daily booking reports, but we look hard on it at weekly. And again, we just saw a good strength across the board in October so far – well, as we've closed out October. And again, we think – and this is just based on qualitative discussions that we've had with our customers, we think some of that strength is coming from the multi-national market, which as I said, it's a place where we have a very premium share of the market and it's a place that for three quarters of the year, we've seen bookings down year-over-year and not up. So, a pretty sluggish part of the market where we're seeing a return in strength in a place where we have a bulk of the share. So, that and we have a good visibility, too. As far as forward-looking bookings, I don't want to speculate on where they'll go. I would just say that the tailwinds out of October give us a lot of confidence. And as Rick and I both mentioned, we also saw stronger than the trailing two-quarters' strength out of Asia Pacific, again validating the good work that our team is doing there and also validating the logic behind the Abacus acquisition.
Rick Simonson - Sabre Corp.: Obviously, given North America is our biggest market, our confidence about seeing some uptick is a measurement in North America, specifically, it's doing a bit better than what we reported in Q2.
Brian L. Essex - Morgan Stanley & Co. LLC: That's helpful. Thank you, guys. Appreciate it.
Operator: And we'll go next to Abhey Lamba with Mizuho Securities.
Abhey Lamba - Mizuho Securities USA, Inc.: Yeah. Thank you. Rick, I know you're not giving guidance for 2017, but on a qualitative basis, how should we think of the puts and takes for the year? And also, just revisiting a prior question on free cash flows for 2017, this $55 million of benefit in Q4 from working capital items, does it create any headwind for 2017 free cash flows? Should we be adjusting our expectations accordingly?
Rick Simonson - Sabre Corp.: The $55 million is related to the technology credit. It doesn't create any substantial headwinds because we have some similar in next year. The other working capital items are normal. I don't see anything particularly different there in the fourth quarter versus fourth quarter out in 2017, as I mentioned before. So, the drivers remain intact there. And again, shaping up, as we said, with Q4 and the visibility that we have to that in the Solutions business continuing strength there and across the different portfolio solutions, that's the benefit of those. And even with a bit of the delay in a couple of the implementations, as Tom mentioned, for instance, on Airline Solutions, we see the economics around the airberlin restructuring largely similar to what we had expected, if they had implemented, still this year, at the full size of the previous expectation. So, we protected ourselves there. That's something that we're very much aware of. In Copa, we've sold them some other solutions, given that they chose to delay because of some of their strategic priorities there, reservations cutover. So, we don't have that in 2017. But we do get some revenue benefit out there. So, that's how we protect the shape of that. And we're growing at super strong rates in Hospitality, both on an organic growth basis. We're realizing the benefit we expected in full from the Trust acquisition. And as Tom mentioned, our pipeline on enterprise is in very good shape for the reasons that we've talked a lot about over the last couple of quarters there. The need of those customers [are really different in (38:31) marketplace there. But I think those drivers are intact, and in the Travel Network, again, we're consistently taking share. We've taken 70 basis points this year. All regions grew in the third quarter and we just talked about some of the drivers for reason to be seeing a little bit of pickup in the overall market and our position specifically in Q4. So, those are the drivers as we go off into 2017.
Thomas Klein - Sabre Corp.: And I just want to reiterate that across the three businesses, we expect Hospitality, the strong growth rates, and as I said, sales success. In Airline Solutions, besides the double-digit growth we're seeing in AirCentre and AirVision, we do have airberlin and Air Serbia and LATAM teed up for implementation in 2017. And LATAM, just as a reminder, the TAM side of LATAM is a larger airline than our current footprint with the Latin side of the airline and on, the Brazilian side, which is the TAM piece, is a – an airline of significant size that will roll in over the course of the year. And then, the last piece is in Travel Network, the deal that we've been talking about that moves basically the point of global market share to the back half of 2017 is arguably one of the bigger deals of this year that was out for good. And so, we have big chunks of business coming out on all three businesses, which builds up kind of our normal day-to-day selling, which, as I mentioned, Travel Network, 2 million bookings this quarter. And we feel really good about the commercial side of the business, and our ability to continue to win business, to grow all three businesses, which is, at the end of the day, a very big driver of cash flow as well.
Abhey Lamba - Mizuho Securities USA, Inc.: Got it. Thank you, guys.
Operator: And we'll go next to David Togut with Evercore ISI.
David Mark Togut - Evercore Group LLC: Thank you. Good morning. Could you update us on any impacts you're seeing from Lufthansa's initiation about a year ago of a GDS surcharge fee and any conversations you've had with any other airlines, in particular in Europe, about their thoughts on the subject?
Thomas Klein - Sabre Corp.: Yeah. I think that – and I said this before, David, this is Tom, as you look at our results, our results reflect some revenue uptick from that decision by Lufthansa, as do some of our competitors. We see no meaningful impact to the business overall, except for that revenue uptick. And I think Lufthansa's results, as you comp them to their airlines across Europe, speak for themselves. And it doesn't seem like that would be a wise strategy and we're not hearing from any of our airline customers across Europe that they'd like to follow what looks like a bad strategy.
David Mark Togut - Evercore Group LLC: Understood. Just as a quick follow-up. Can you discuss some of your initiatives to implement NDC or New Distribution Capability, which is an important program set forth by IATA and the major airlines?
Thomas Klein - Sabre Corp.: Yeah. I think, first of all, we're going to put ourselves in a position to deliver NDC capabilities. But we're going to go at pace that our customers want to go at. We were first to market with the seats product for American Airlines using the NDC standard. On the flipside, just to give an example, we were several years ahead of the industry on a similar program to sell paid seats up at United using a different technology, because the NDC standard wasn't in place. So, we're going to go – we're going to innovate at a pace that's consistent with what our customers say, not consistent necessarily with what an industry standard setting organization says as that's not where innovation generally comes from. I've mentioned that before. Again, we will be ready to implement things in a standard format. We think that's better for us and it's better for the industry. But the airline industry needs to adopt the standards, and they've been slow to do so. And we continue to innovate both inside the standard and around the standard based on our customers' need.
David Mark Togut - Evercore Group LLC: Will you have the opportunity to monetize the services you provide in support of NDC?
Thomas Klein - Sabre Corp.: I think it depends on what the mix of products and services airlines sell. In some cases, they will just drive more efficiency. Some of the NDC capabilities will be around servicing customers, not selling incremental things to customers. But I think that if airlines increase their mix of products and service that they sell, whether that's through NDC or any other capability that we deliver, we will look to monetize it. But that is not a revenue that we have sitting out in the current three-year or multiyear guidance that we've discussed. That does not assume a big pickup in ancillary-type revenues kind of at Sabre. We do see it as a long-term revenue opportunity. But again, as I said before, airlines need to get more revenue from the intermediated channels. The bulk of the $60 billion or so that they're talking about as ancillary revenues today come from things that are either bought at the airport, mostly bags; or things that are going through the direct channel, mostly seat; or the sale of miles, which, in our view, isn't really new ancillary sale. It's something the airlines have always done. And that's really part of their loyalty business, not part of the core airline business. So, I think those are the three buckets, and they've more or less saturated the direct channel ancillaries in those categories. And we think they have to sell more. And I think our conversations with airlines validate that they want to sell more through the intermediated channel. That's both, a technology issue as well as a product mix issue and a sales compensation issue, people who are selling the product for them.
Rick Simonson - Sabre Corp.: And David, this is Rick. A key tenet our strategy in Travel Network is articulated by Sean Menke at the Investor Day and elaborated since there is to enable that end-to-end and to help the airlines do that. That's both technologically. It's both also lining up the relative incentives for people to do that in the intermediated channel; the agencies, the airlines and Travel Network as the GDS. So, it's a holistic strategy to address that issue for the benefits of the airlines. So, it's definitely an option for us. It's not in the 2017 numbers.
Thomas Klein - Sabre Corp.: Yeah. And let me just – because I think it gets a lot of delays from IATA and the airline industry, to be clear, to-date, the latest data I have suggests that IATA has certified one product at one airline as being NDC compliant. That is not reflective of an industry that's adopting a standard. And it's also – it is reflective of those typical standard setting organizations, which they can't go at this by certifying products one by one across the industry, it's just kind of a meaningless metric. So, again, this comes back to innovation and how airlines choose to sell their product and enabling them to do that. We think we're better at that than anybody in the world, both in the direct channels and as well as indirect channels.
David Mark Togut - Evercore Group LLC: Understood. Thank you very much.
Operator: And we'll go next to Ashish Sabadra with Deutsche Bank.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Hi. My question was regarding the Solutions' margin. Rick, I believe you talked about high 30% margin for Solution in 2017. Can you just help us talk about the puts and takes there? Looks like there are a lot of airlines going live, so we should be positive, but then you also have Southwest de-conversion. Can you just help us true-up on how much of a impact will there be from the Southwest?
Rick Simonson - Sabre Corp.: Yeah. Well, first, thanks, Ashish. The Solutions' margin for the year will be largely kind of where we were previous year, a little bit above that. And fourth quarter will be up around 40% or more. So, you see how we get there for the full year. And again, in 2017, based on, all things considered, the implementations that we've already done just recently, the ones we have visibility to, and the Southwest roll off by the middle of the year, we continue to believe we'll be at high 30%, so higher than this year, next year in the Solutions' margin. Remember, you're powering that through rapidly increasing in the smaller Hospitality side and then consistent in visibility on the airlines which the reservations have implemented that have and accounted for the Southwest roll over. We don't have complete visibility on being notified yet by Southwest of exactly what month they will cut over, but you've heard their statements that, again, they're expecting somewhere in the first half of the year and that's what we are expecting.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Yeah. Thanks for the color. And then, on the organic PB growth, that was really strong in the quarter, 9%. Can you just comment on what's driving that strong PB growth in the Solutions business?
Rick Simonson - Sabre Corp.: Yeah. Just growing with Air, we've got the customers and the mix that are growing faster than the market. So, talk about the 9%, as I mentioned, organic in Q3 was just terrific. Lion Air has grown more than 30%; Vietnamese – Vietnam Airline more than 20%; Philippines Airline, 20%; that might surprise some people. Aeromexico is growing in double digits; LAN, double digits; JetBlue, right around the average 9%. So, hopefully, that gives you some color there, really strong. It's a big world and things are picking up. And even in Latin America, again, we've seen through bookings a return to some growth and we've seen some markets like Brazil and Colombia picking up. So, we're really excited to when we get to implement TAM Airlines in 2017, which by themselves, as Tom referenced, is a very big airline, I think, around approaching 40 million passengers boarded that would be incremental. So, that will layer on another one. And then, we expect to have organic growth off of them in a market that looks as if, and I'm knocking on wood, has found bottom and is starting to show a little bit of growth again. So, that bodes well over the medium term.
Ashish Sabadra - Deutsche Bank Securities, Inc.: That's very helpful. And maybe one final question quickly on the Hospitality side, what was the organic growth there or what was the contribution from Trust acquisition?
Rick Simonson - Sabre Corp.: Trust was $11 million revenue, as we expected. So, spot on. And we had organic growth of – or, excuse me, a total growth of 45% in the quarter. Trust was $11 million of revenue.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Okay. Thanks.
Operator: And we'll take our next question from John King with Bank of America.
John P. King - Bank of America Merrill Lynch: Good morning, guys. Thanks for taking the questions. Just a couple to start off on the Travel Network side, if I can. Firstly, can you comment around the pricing trends that you're seeing? Obviously, you've had some fluctuations in your implied bookings price in the first three quarters. How should we think about that for Q4 and beyond? And related to that, what kind of mix are you seeing in terms of the growth in corporate versus leisure? I guess, you're calling out again some softness in North American corporate. Are you seeing a very different picture in the leisure market in North America? And again, how might we think of that trending into Q4?
Thomas Klein - Sabre Corp.: Yeah. I think I've covered the latter part of that question, John, but just to reiterate, we saw softness in the corporate market year-to-date, year-to-date end of third quarter. Coming out of the third quarter, we have seen strength in the North America corporate market that we hadn't seen earlier in the year. And we think it can have a meaningful impact going forward. So, on the share mix, we've seen good strength there.
Rick Simonson - Sabre Corp.: Yeah. And on the booking fee, we had a booking fee growth, which was about 1% in the quarter, John, and that was as we kind of had expected and communicated. That gives us booking fee growth of 3% over the first half of the year – or 1% in Q3, 3% over the first half of the year, and that was accentuated by in one quarter we had 4%. We said don't extrapolate that. And so, that gets us right back online to where we expect both the booking fee and incentives to grow in that very low-single digit, but we have 3% or 4%, so on track there.
John P. King - Bank of America Merrill Lynch: Understood. And then, the follow-up, which is going to be around the balance sheet. Rick, I appreciate you've got some free cash flow to collect in Q4. But with that in mind, you should be towards the low end of your typical corridor on leverage. I think you already are, in fact. So, I guess, you've always talked about bolt-on M&A and some potential for buybacks. Is the picture still looking pretty similar there or are you leaning one way or the other in terms of the uses of cash?
Rick Simonson - Sabre Corp.: It's absolutely intact, John. Thank you. And yeah, we're at 3.1x, that's what the bottom end of our 3x to 3.5x. We said our bias is to be at the bottom end of that and a bit below, if you – you can't hit it just exactly every day. So, that remains intact and we're well set up for that. On M&A, we haven't had any larger acquisitions here recently. So, right now, as I sit here and look, it's very much then in our levers, right, of use of that free cash flow is really towards the debt reduction to that 3x or slightly below. And we have some work also in terms of working our debt capital structure that we're going to continue on, as you've seen. And return through buybacks to, at a minimum in 2017, offset dilution. But we have the ability to do additional buybacks at any time above and beyond that, with where we are in our capital structure, our cash on hand, and our cash flow that's coming in.
John P. King - Bank of America Merrill Lynch: Got it. Thanks.
Operator: And we'll go next to Jason Kupferberg with Jefferies.
Ryan A. Cary - Jefferies LLC: Good morning. This is Ryan Cary on for Jason. First, with only one quarter left in 2016, I'm a little surprised at how wide the EPS range is for the year. Is there any reason you didn't tighten the bottom-line guide? And it seems like if we take the third quarter's results and apply to the full year, this implies kind of middle of the range? Is that generally the right way to be thinking about this?
Rick Simonson - Sabre Corp.: It is – I think, to begin with, our ranges are pretty darn tight for a company this size and there's no change there. And so, there's nothing to read in or out of that. And on our adjusted EPS for the full year, as I've said, $1.34 to $1.40, and I think gave you all the drivers of that in the build-up, so not really anything to add to what I said or what's on the charts there.
Ryan A. Cary - Jefferies LLC: Okay. And then, just moving to EMEA bookings, I'm just trying to get a sense of how you think this should trend going forward. As even ex-Unister growth of just over 3% still seems pretty lackluster. I know you called out global market share improved, but looking specifically at kind of the EMEA region, did share shift have any impact on growth in EMEA for the quarter?
Rick Simonson - Sabre Corp.: Well, EMEA...
Thomas Klein - Sabre Corp.: Yeah, just to be clear, 3% isn't lackluster. It's right on top of the market. So we've outgrown the market up until second quarter. We've talked about that. We had a step-down because we hadn't implemented any new agencies in the period prior to the second quarter. And again, in the third quarter, we're about 3%, which is right on top of the market growth number. And we have implementations that happened this quarter that will tick up bookings in the fourth quarter. So, we'll continue to outgrow Europe, as we have. But our third quarter number is right on top of market growth.
Rick Simonson - Sabre Corp.: Yeah. Just for ...
Ryan A. Cary - Jefferies LLC: Got it.
Rick Simonson - Sabre Corp.: ...fourth quarter of having a good performance and outperformance.
Ryan A. Cary - Jefferies LLC: Okay. So, we should expect then kind of fourth quarter the outperformance will continue to expand?
Rick Simonson - Sabre Corp.: Correct.
Ryan A. Cary - Jefferies LLC: Perfect. Thank you so much for taking my questions.
Rick Simonson - Sabre Corp.: Thanks, Ryan
Operator: And we'll go next to Jed Kelly with Oppenheimer.
Jed Kelly - Oppenheimer & Co., Inc. (Broker): Great. Thanks for taking my question. With the recent share gains made in Travel Network, do you expect any change in your long-term margin outlook of 40% for that segment? And also, are you expecting corporate travel trends to improve after the election?
Thomas Klein - Sabre Corp.: Yes. Jed, we don't expect any change in the margins. And I don't want to speculate on – yeah, all the headlines today are pointing to the election. We're not smart enough to figure that one out. But corporate travel trends are positive in front of the election as it relates to the month of October. That's the best indicator that there is going to be a little more growth there, and we feel confident that there's wind – that we have some tailwinds as it relates to multi-national business in North America, where again we have the premium share of the market much higher than our natural share of the market.
Jed Kelly - Oppenheimer & Co., Inc. (Broker): Okay. And then, can you call out how much you were expecting Unister to contribute to revenue and EBITDA in 2017?
Rick Simonson - Sabre Corp.: Well, I called out the impact of it quite explicitly. I don't have anything to add to that.
Thomas Klein - Sabre Corp.: And in 2017, we're still working on what the shape of 2017 will look like. But we expect to find ways to make that produce.
Jed Kelly - Oppenheimer & Co., Inc. (Broker): All right. Thank you for taking my questions.
Rick Simonson - Sabre Corp.: Thanks, Jed.
Operator: And we'll go next to Matthew Broome with Cowen & Company.
Matthew Broome - Cowen & Co. LLC: Hi. Thanks for taking my call. I was just curious if you could talk about the additional investments you made during the quarter and I guess the rationale of expected benefits. Was this opportunistic or do you see competitive pressures, regulatory or anything like that?
Thomas Klein - Sabre Corp.: I think – well, this is Tom. Let me cover a little bit...
Matthew Broome - Cowen & Co. LLC: I know.
Thomas Klein - Sabre Corp.: ...and, Rick, you can jump in wherever you'd like. But I think there's couple of things. One, we called specifically – we called securities out specifically. As you know, as everyone knows, across the board, the security environment is one that the whole technology world is, at times, playing catch-up with. We can't afford to be playing catch-up, so we're trying to stay ahead of the market. Our customers rely on us for the security layer around a number of their critical systems. So, we think those investments always make sense. We spent a bit more than we planned, but it's around beefing up an environment that, over time, we think we'll get paid for in the service side of Software as a Service. But I think, initially, we have to invest to keep our customers confident that we're ahead of the market. Because of the restructuring of the airberlin and the Copa agreements, particularly the airberlin agreement, we incurred some expenses that we had to take in the period, but that won't give us benefit any time soon. As Rick mentioned, we hold the economics together for the airberlin in general for 2016, but that's a different mix of business than we planned.
Rick Simonson - Sabre Corp.: Right. And Matthew, this is Rick. And so, the combination of those, with the incremental investment in security and stability and then the work around working with airberlin and Copa and the account teams, financial, legal, sales, all of that was in the high-single-digit billions in the quarter.
Matthew Broome - Cowen & Co. LLC: Okay. Thanks. And so, you mentioned you were very successful signing the new agencies during the quarter. Just wondering what was mostly driving that? Is that sort of additional investment for sales? Or...
Thomas Klein - Sabre Corp.: Well, we've had a long history of growing share. We've said that we feel like we can grow share in every market around the world. Our commercial approach in Asia Pacific is proving – is going to prove that out, it has already resulted in us landing, again, with a largest travel retailer chunk of business that was available in 2016. And we continue to sell in EMEA and we saw $2 million bookings of new sales that will come on over the next couple of months.
Matthew Broome - Cowen & Co. LLC: Okay. Perfect. Thanks very much.
Operator: And we'll go next to Brad Erickson with Pacific Crest Securities.
Brad Erickson - Pacific Crest Securities: Hi. Thanks for taking my question. Just had one quick follow-up here. You called out, I guess on the RFP pipeline for Air Solutions, I think you said some of which may have pushed out a bit. Can you just talk a bit about what's going on there exactly; sale cycle simply lengthening or some other new dynamic that's causing that to occur? Thanks.
Thomas Klein - Sabre Corp.: Yeah. I don't think there's, Brad, any new dynamic. I mean, these deals are choppy. Airlines, they're long processes generally. Airlines need to dedicate a lot of resource toward them and they have to prioritize them in a way that allows them to jump through them quickly. And we've just seen – in some cases, we've seen RFPs delay. Other cases, some of the sales process is spreading along. It is not unusual. I don't think there's any new mix of issues in the business. I think it's really just an issue of airlines – us working hard to drive airlines' decisions. But frankly, on these big deals, they're going to decide when they decide and we just have to keep the sales process going until they do. There's nothing new going on there.
Rick Simonson - Sabre Corp.: The great thing is that we sell a lot of other mission-critical software solutions to all of those airlines that aren't our reservations customers. Thanks, Brad.
Brad Erickson - Pacific Crest Securities: Got it. Thanks.
Operator: And there are no other questions in the queue. At this time, I'd like to turn the call back to Mr. Tom Klein for closing remarks.
Thomas Klein - Sabre Corp.: Thanks again for joining the call this morning. We're excited about the trajectory of the business and we appreciate your continued support. Thanks, everyone.
Operator: This does conclude today's conference. We thank you for your participation. You may now disconnect.